Operator: Ladies and gentlemen, welcome to the Antares Pharma Second Quarter 2020 Operating and Financial Results Conference Call. Throughout today’s recorded presentation, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to hand the call over to Jack Howarth, Antares' Vice President of Corporate Affairs. Sir, please go ahead.
John Howarth: Thank you, Katy, and good morning, everyone. Earlier today, we announced our second quarter 2020 financial results and operating achievements. A copy of the press release and slide presentation for today's conference call are available on the Investors section of the Antares Web site. Before we begin, I'd like to remind you that some of our statements made during this conference call will contain forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Examples of forward-looking statements include those related to our future financial and operating results, including our expectations regarding the impact of COVID-19 pandemic and mitigation measures implemented in response to the outbreak, on our product supply, demand for our products, new patients and future prescriptions, future revenue, development programs, the global economy and financial markets and our overall business, operating results and financial condition, our ability to achieve the restated 2020 revenue guidance, future revenue growth, prescription volumes and market share for our products and our partner products, new product approvals and launches, FDA actions and other regulatory activities, results of ongoing and future clinical trials and other product development activities and business development efforts. These forward-looking statements are subject to certain risks and uncertainties and actual results could differ materially. They are identified and described in today's press release, in the accompanying slide presentation and from time to time in the company's filings with the SEC on Form 10-K and is updated in Antares' recent periodic filings on Form 10-Q and Form 8-K. Antares is providing this information as of the date of today's conference call and does not undertake any obligation to update any forward-looking statements contained in this conference call as a result of new information, future events or circumstances after the date hereof, except as required by law or otherwise. The company cautions investors not to place undue reliance on these forward-looking statements. Joining me on the call today are Bob Apple, President and Chief Executive Officer; and Fred Powell, Executive Vice President and Chief Financial Officer. Let's review the agenda for today's call on Slide 3. Bob will begin with a high-level review of our business. Fred will go through the detailed financials, and then Bob will conclude with closing comments before opening up the lines for your questions. I'll now turn the call over to our CEO, Bob Apple. Bob?
Robert Apple: Thanks, Jack, and good morning, everyone. This morning, we reported another quarter of record financial results and significant operational progress for the company. We achieved a 14% increase in quarterly revenue versus the same period last year and improved overall gross margin across the business as we continue to generate cash from operations, despite the impact of the COVID-19 pandemic on patients, physicians, our employees and communities that we serve. As we managed through daily obstacles to potentially eliminate any disruption to our business and supply chain, we were able to deliver hundreds of thousands of auto injectors for our partners and patients to rely on our products while advancing our internal pipeline. Furthermore, we continue to support the growth of our business with our development partners as we recently announced the launch of generic Forsteo in parts of Europe by Teva and an international distribution agreement with Lunatus for XYOSTED. Today’s strong results reported for the second quarter speak to the exceptional teamwork demonstrated in Antares during a difficult time in our country's history, and were driven in large part by sales growth of for flagship product XYOSTED as well as year-over-year growth of Teva's generic EpiPen. The highlight for the second quarter saw XYOSTED grow 136% versus the same period last year and 274% over the first six months of 2020, with June recording the highest number of shipments and prescriptions filled to-date. In addition, last week XYOSTED recorded the highest number of total prescriptions filled in one week according to Symphony prescription data. In our alliance business, the combined revenue of device sales and royalty generated from Teva's generic EpiPen grew 61% in the second quarter and 83% over the first six months of this year as compared to the same period in 2019. We believe this is impressive revenue growth by any standard for both products. Our proprietary product XYOSTED and OTREXUP, which represents our highest margin business, had a 65% increase in the quarter versus the same period last year and doubled over the first six months versus the same period in 2019. Our commercial team has driven impressive growth of XYOSTED, while maintaining OTREXUP as a steady contributor to our business. On Slide 5, you will see that prescription trends for XYOSTED continue their upward slope through the second quarter with June totaling another record month. Since the product launch last year, more than 132,000 prescriptions have been filled through June 30 and approximately 6,000 different physicians have prescribed XYOSTED to more than 20,000 patients. Second quarter total prescriptions increased 11% sequentially from the first quarter of this year, despite the limitations our sales force had placed on them when they were unable to physically interact with physicians and their staff, coupled with reduced number of patient visits. We believe our decision at the end of the first quarter to strategically shift to an existing virtual detailing platform early in the pandemic, as well as leveraging our social media presence to connect with our existing and potential customers and healthcare professionals, has led to a positive impact on XYOSTED prescription growth in sales. Since early July, most of our staff professionals have been able to resume limited in-person detailing and will continue to work virtually in those offices or regions that don't allow access to the physician’s office based on the varying stay-at-home orders, restrictions and phased openings. Since patients may continue to have limited access to physicians, we made a tactical decision last quarter to shift our messaging as it relates to the unique product attributes of XYOSTED, which was developed as an easy, once weekly, subcutaneously administered product designed for at-home use. We have heard from physicians that some testosterone deficient patients may not be able to or willing to visit their offices for treatment. If a patient has already satisfied their prior authorization requirements from their insurance provider to initiate testosterone therapy, they can be easily switched from a physician-administered therapy to self-administration of XYOSTED at home. We will continue to target these physicians with our switch messaging as well physicians who are new to the XYOSTED story who may be unaware of the virtually painless administration that has been shown to produce steady-state testosterone levels throughout the once weekly dosing period. We believe the benefits of XYOSTED will continue to drive demand for an at-home injection option. Recently, we had the opportunity to welcome Pat Shea to the Antares organization as our Senior Vice President of Commercial. Pat joins us with over three decades of sales, marketing, market access and commercial operations experience. His past commercial leadership roles include the development of strategic marketing plans for products associated with men's health, urology, pain management and oncology. Pat has a proven track record of leading pharmaceutical commercial organizations, both large and small, and we believe he will be a valuable asset to us as we enter next phase of growth for XYOSTED and our proprietary commercial business. I would also like to take this time to thank Ed Kessig for his leadership during the launch of XYOSTED and his contribution in making it the fastest-growing branded testosterone product on the market. Ed has chosen to retire after a successful career in the industry and we wish him well in his future endeavors. Turning now to Slide 6 and some exciting news from our development partner Teva. This past July, we announced the first commercialization of our multi-dose pen platform in Europe. Teva launched teriparatide injection, the generic version of Eli Lilly's European brand product Forsteo. Teriparatide is a drug-device combination product used for the treatment of osteoporosis. The product was initially launched in eight European countries and they recently advised us that this product has also been launched in Denmark, Ireland, Israel and Canada. Teriparatide is currently approved in 17 countries in Europe and Teva has indicated that they would expect to launch in other European countries later this year. The European launch represents another milestone achievement in our collaboration with Teva. This is the third successful approval and commercialization of a drug-device combination product with our partner and follows the previous launches of the generic epinephrine and generic sumatriptan auto injectors. With respect to the ANDA filing for the U.S. generic version of Forsteo, Teva continues to believe they could receive FDA approval later this year. If approved, the generic Forteo pen will be fully substitutable at the pharmacy, and we believe will receive six months of exclusivity. Under our global agreement, we sell the devices to Teva at cost plus margin and receive escalating royalties from high-single digit to mid-teen percentages based on net sales by Teva. If approved, we believe the product represents a significant opportunity for both companies. I’d now like to talk about our first international distribution opportunity which we announced earlier this week. This past Monday, we disclosed an exclusive distribution agreement with Lunatus Global Medical Supplies to distribute, support and promote the XYOSTED in Saudi Arabia and United Arab Emirates. Lunatus has a proven track record of introducing, building and maintaining proper brands in the Arabian Gulf and Middle East regions. We believe the XYOSTED product profile will fit nicely into a market which is currently underserved and lacks attracted treatment options for testosterone-deficient men. On the terms of the agreement, we will be responsible for the supply of fully packaged product to Lunatus and our partner will be responsible for submitting and obtaining regulatory approvals for XYOSTED. Once approved by health authorities, Lunatus will also be responsible for all marketing, promotion and distribution of XYOSTED in both countries. We believe this agreement will help lay the groundwork necessary to expand our global footprint for XYOSTED. We continue to make good progress on our pipeline despite the new COVID work environment. The selatogrel rescue pen development program with our partner Idorsia Pharmaceuticals continues to advance. We are working with Idorsia to develop a rescue pen which will deliver a potentially fast-acting P2Y12 antagonist. Idorsia believes the rescue pen could be self-administered at the onset of symptoms to stop a suspected heart attack and preserve muscle and heart functions. We have initiated the usability and reliability studies with the QuickShot device, while our partner Idorsia prepares to conduct a clinical bridging study as well as finalizes the Phase 3 study design with the various health authorities. Idorsia has indicated that they expect to initiate their global registration study in the first half of 2021 and we look forward to the start of this exciting trial. Idorsia will pay for the development of the rescue pen and will be responsible for obtaining global regulatory approvals for the product. Antares will provide fully assembled and labeled finished product to our partner at cost plus margin who will then be responsible for global commercialization of the product, pending FDA and foreign approval. We would then be entitled to receive escalating royalties up to double-digit percentages on global net sales of the commercial product. We believe the potential importance of this product for patients of Idorsia and Antares can be significant. Turning now to our development program with Pfizer, we continue to make good progress on this project for an undisclosed rescue pen. As a reminder, subject to FDA approval, we will supply Pfizer with the fully packaged commercial-ready product at cost plus margin and then receive escalating royalties from mid-single digit to double-digit percentages on end sales of the product. We anticipate that we will be able to provide estimates on the development timeline once we received clearance from Pfizer. Shifting now to own internal pipeline. As previously disclosed, we are in the early stages of developing two new assets in the endocrinology and urology areas. The endocrinology program is a rescue pen that is currently in the preclinical and formulation stage of development. The company had a successful pre-IND meeting with the FDA, which enabled us to identify and agree on a development path forward for a 505(b)(2) approach for an eventual NDA submission. If formulation development is successful, we anticipate filing our initial IND in 2021. The next potential product candidate is an asset in urology. We are working on a potential weekly formulation of an auto injector administered product with a target of attaining pre-IND feedback from the FDA and a first-in-human clinical study in 2021, which could potentially be filed by an IND filing in the same year. Finally, I’d now like to update you on some of the day-to-day changes we are making to the way we operate as a company. In response to the pandemic, most of our executive and administrative functions are still working remotely and we have limited the number of staff in our facilities to those necessary for essential functions, such as development, manufacturing and supply chain. We have implemented numerous health and safety protocols and are taking precautions to help protect our employees. Antares provides essential medicines to our partners and patients and we are committed to delivering on this important mission. We are continuing to work closely with our third-party manufacturers and distributors in order to manage supply chain activities and mitigate any potential disruptions to our ability to supply products to our customers and/or partners during the pandemic. As a result of the commendable efforts of the organization to maintain the momentum of our business in these unprecedented times, we are taking this opportunity to reinstate our full year 2020 revenue guidance, which we believe will be in a range of $135 million to $155 million, which represents a year-over-year growth rate of between 9% and 25%. Given the evolving nature of the pandemic, the company may revisit revenue guidance at some future point in time. We will, however, stay laser-focused on our business to be ready to adapt to any changes to market conditions should they occur. I would now like to turn the call over to Fred for the financial details of our second quarter and six months ended June 30, 2020. Fred?
Fred Powell: Thanks, Bob. Throughout our business, we had a very strong quarter despite the unusual challenges we’re all facing. We recognized record second quarter revenue with $32.4 million and earnings per share of $0.01. These excellent results exceeded Street revenue expectations of $30.4 million and breakeven EPS. The second quarter marks the third time in the last four quarters that the company has achieved profitability. In addition, we generated $3.7 million in cash from operations during the quarter. And for the first six months of 2020, cash generated from operations was $9.3 million. This is a tremendous turnaround of over $20.4 million from 2019 when we used $11.2 million in cash during the first six months of that year. So let me begin with a more detailed review of the strong financial results by providing a breakdown of our revenue and operating expenses for the second quarter and first six months of 2020. Total revenue was $32.4 million for the three months ended June 30, 2020, representing a 14% increase compared to $28.4 million in 2019. For the six-month period ended June 30, 2020, total revenue was a record $65.5 million, which is a 27% increase from $51.7 million for the comparable period in 2019. Total product sales were $24.7 million for the second quarter, a 20% increase from $20.6 million in the second quarter of 2019. For the six-month period ended June 30, 2020, product sales were $51.8 million, a 33% increase from $38.9 million for the comparable period in 2019. Sales of our proprietary commercial products XYOSTED and OTREXUP totaled $14.8 million and $27.4 million for the three and six months ended June 30, 2020 compared to $9 million and $13.8 million in the same periods of 2019. The increase in proprietary product sales for the three and six-month periods in 2020 over 2019 was attributable to the continued growth of XYOSTED. Partner product sales were $9.8 million and $11.6 million for the three months ended June 30, 2020 and 2019, and $24.4 million and $25.2 million for the six months ended June 30, 2020 and 2019. The three and six-month reduction in partnered sales is primarily due to sales in 2019 of the needle-free devices to Ferring. During the second half of 2019, we completed the sale of that product to Ferring and we’re no longer recognizing sales on needle-free devices. In addition, in 2019, we sold pre-launch quantities of teriparatide pens to Teva. During the three months and six months ended June 30, 2020, we have seen significant growth in our EpiPen devices as sales have increased 64% and 76% from the comparable periods in 2019. Finally, we continue to supply product to AMAG who recently indicated to investors that they remain focused on maintaining patient access to the Makena product. Licensing and development revenue was $2.7 million and $4.4 million for the three and six-month periods ended June 30, 2020 compared to $2.2 million and $3.2 million for the comparable periods in 2019. The growth in licensing and development revenue for the three and six-month periods was primarily from Pfizer rescue pen and the Idorsia selatogrel pen development programs. Royalty revenue was $5 million for the three months ended June 30, 2020 compared to $5.6 million in the same period in 2019. For the six-month period ended June 30, 2020, royalty revenue was $9.3 million compared to $9.6 million for the comparable period in 2019. The decrease in royalty revenue for the three and six-month periods were primarily attributable to a decline in royalties recognized from AMAG on the net sales of Makena subcutaneous auto injector. Gross profit increased 24% to $19.9 million for the quarter ended June 30, 2020 as compared to $16 million in the second quarter of 2019. For the first six months of 2020, gross profit increased 34% to $37.9 million as compared to $28.3 million during the first half of 2019. It’s important to note that our gross profit as a percent of total revenue increased to 61% for the quarter ended June 30, 2020, up from 56% recorded in the same period in 2019. Again, this is driven by the increase in XYOSTED revenue. Operating expenses were $16.9 million for the second quarter of 2020 compared to $17.6 million for the comparable period in 2019 and $36.3 million and $34.9 million during the first six months of 2020 and 2019. The increase for the six months ended June 30, 2020 was primarily attributable to increased headcount as well as increased non-cash incentive compensation expense. For the quarter ended June 30, 2020, net income was $2.2 million or $0.01 per share compared to a net loss of $2.2 million or a loss of $0.01 per share for the same period in 2019. And for the first six months of 2020, net loss was 200,000 or breakeven per share as compared to a net loss of $7.8 million or $0.05 per share during the same period last year. Finally, our cash and short-term investments at the end of the second quarter increased to $51.6 million compared to $45.7 million at December 31, 2019. I’ll now turn the call back to Bob. Bob?
Robert Apple: Thanks, Fred. In summary, we had a great quarter with exceptional growth of our flagship product XYOSTED and continued growth of our EpiPen business that drove strong operating and net income in addition to expanding our product offerings and advancing our internal pipeline. I’d like to once again thank personally all of our employees and our stakeholders as we navigate through this unusual period of time. Everyone here at Antares is making extraordinary efforts to maintain this positive momentum of the business. We are focused on driving growth through the commercial success of our proprietary and partner products. We hope all of our employees and stakeholders remain safe and healthy. This concludes my prepared remarks for today. Operator, could you please open the lines up for the question-and-answer session.
Operator: Thank you, sir. [Operator Instructions]. Our first question will come from Elliot Wilbur with Raymond James.
Elliot Wilbur: Hi. Thanks. Good morning. Busy day. I’m going to apologize in advance if I asked something that you mentioned in your prepared commentary here. But first, I guess for Bob and just thinking about the reinstatement of full year guidance in the range within that expectation, want to get your perspective on just sort of three different items and how they may impact your thinking about the range itself. First is with respect to Makena. Looks like that product has stabilized based on AMAG number the last couple of quarters. Just wondering kind of how you’re thinking about that product for the balance of the year in terms of contribution to your numbers. Number two, what you’re seeing in terms of EpiPen order flow from Teva heading into the peak selling months given the uncertainty around back-to-school dynamics across the country? And then sort of how you’re thinking about the ability to get back and sort of resume normalcy in terms of detailing trends with respect to in-office physician visits and what that means for XYOSTED in the back half of the year? Obviously, you’ve done very well with the asset kind of given the constrained environment. But just thinking about – I want to know sort of what you’re thinking about in terms of how much of an incremental acceleration trajectory is dependent on kind of getting back into the office, front of physicians?
Robert Apple: Okay, Elliot. Let me focus on the first part of your – I guess the last part of your question which is around XYOSTED. We’ve been seen about 25% of our details overall being in-person and that really fluctuates depending on the spikes in COVID and so forth that we’re seeing across the country. But otherwise, our sales reps have been able to effectively detail the offices with a virtual platform. And I think you’ve seen that – the result of that in a very difficult time in the April, May and June timeframe of the pandemic where I think a lot of patients were actually really concerned about even going to their doctors’ offices and we still were able to grow our overall prescriptions from quarter-to-quarter, 11%, and we saw the growth from the revenue standpoint as well for XYOSTED. I think what’s different this time is that the offices are more prepared for the pandemic, so they’re now seeing patients on a more regular basis not as – it’s not as it was before the pandemic, but it’s still – I think the protocols are in the place and patients are coming in to see their doctor. So we see that as a positive change over the last month or so for our sales reps. Because importantly for us, it’s really about the patients coming in to see the doctors and less about the access that we have to the offices, because our reps can effectively detail the doctors via the virtual platform. We’re able to do virtual lunches, we’re able to do virtual detailing, we’re able to do sample – get samples to the physicians. So all these key tactical items can be done. The key for us is for the patients to keep coming in. And right now, we definitely see a difference from the early part of the pandemic. So I think there’s going to be continued growth of XYOSTED. And our range of our guidance is really – we didn’t change it. It’s still between 135 and 155. A lot of that originally was meant for the uncertainty around Makena. I think the range now is really around the uncertainty of COVID. Depending on what happens in the next few months I think gives us the flexibility just to maintain that range across all of our business. So I think XYOSTED is going to continue to grow and we’re really excited about the recent trends. We had our all-time high just last week on a prescription basis. We’re seeing new patients’ starts increasing coming back to almost pre-COVID levels. But generally patients are staying on the drug and we believe that the product will continue to grow. On the epinephrine front, I think if you listen to Teva’s call yesterday, epinephrine was – like they called it a strong driver of growth for them as it has been a strong driver of growth for us. But clearly we did – Teva did mention across their generic business, there was a much higher stocking level or purchasing level that was done by patients in Q1. It kind of dropped in Q2. We saw that a little bit on Epi, but overall it was still a really nice growth for our company. Going into the back-to-school timeframe and the order flow from them, we – from a device standpoint, we can see pretty far out their demand and it’s pretty high. We’re doing everything we can to keep up with demand. And so we don’t see any issue related to back-to-school related to our device balance. Related to what they ultimately sell and which affects our royalty, that’s a more difficult kind of question to ask because I don’t know if the virtual schooling is going to have a significant impact on epinephrine. I think that most parents are still going to refill their epinephrine – their EpiPen scripts because they expire really in 18 months or less. And I think it’s hard for us to predict how COVID is going to impact that biggest quarter for epinephrine products. But overall, I’d say the Epi business is extremely strong. Teva is doing a great job of making that a successful product for both us and them. And right now that’s a big part of our guidance for 2020. And then your first question about Makena, I kind of put them in the order of importance. Makena – in our model, we assume it continues to sell. There has been no indication at this point that AMAG will not be able to continue to provide Makena to patients. They’re working with the FDA. But it is a less material part of our business. And so it’s really for us, we’re continuing to supply them the auto injectors, the fully packed product. We continue to get a royalty. And it’s a nice part of our business but it’s really not a primary [indiscernible] the growth of our business and our company. They continue to do well with it and we expect that to continue through the balance of the year.
Operator: Thank you. Our next question will come from Anthony Petrone with Jefferies.
Anthony Petrone: Thanks. And hope everyone’s doing well, staying healthy. A couple on XYOSTED and then I have one on teriparatide. Just on XYOSTED, Bob, can you give us a sense within the growth number, what’s coming from actually newly prescribed TRT patients versus kind of the pull-through from IM patients that previously received the two blood draw clearance? And then just on teriparatide. As we look at Lilly’s numbers, can you give us a level set on what the Canadian and European mix is in there, trailing 12-month numbers? And then I have one quick follow up. Thanks.
Robert Apple: Sure. On XYOSTED, as far as our new patient starts, I think it’s probably equal that about half of our new patient starts are switches and then half are new to therapy, and we’re focusing on both. Both patients are excellent targets for us as far as new opportunities. The switches have been a little bit easier to get just because we have patients that we’re doing IM injections in the doctors’ offices and they – I think that a lot of them still are not comfortable going in every two weeks. And you also had some business from the old implantable testosterone pellets that not only is there a difficulty in getting into the office but there’s also a shortage of the pellets just because there’s not a whole lot of demand for that. So I think the switches are really what we’re focusing on because you don’t have to go through the prior authorization process. They don’t have to get the blood draws. It’s a bit easier for both us and the patients to get XYOSTED. On the new patient starts, there are still coming up. New patients are being introduced to XYOSTED on a regular basis. The offices are doing more telehealth but they still have to go in and get their blood draws. And again, I think the offices have been able to figure out the appropriate protocols, how to treat a patient with them being exposed hopefully. They go in. They’re socially distanced. They stagger the number of patients in the office at any given time and that again has had a positive impact on the patient flow of new patients on XYOSTED. So we expect that to continue. As you obviously hear in the news, there’s a lot of spikes in a lot of regions and we’re just trying to deal with those as best we can. But overall, the product continues to grow and it’s doing well.
Anthony Petrone: That’s helpful. And then just looking into the teriparatide launch. Again, what is the branded mix in Canada and Europe? And maybe the follow up there would be, is there any kind of indication from Teva how they’re going to proceed with pricing initially? And maybe just to clear up the timing on the U.S. launch, is that sort of a first half '21 event? Thanks, again, and congratulations.
Robert Apple: Thanks, Anthony. Yes, as far as teriparatide pricing and how Teva is going to introduce their products into these markets, that’s really a question for Teva. We have no insight into their strategy there. What we’re doing is we make sure that we supply them the pens for that product. They then do all the distribution, they do all the marketing. And so we haven’t received our first royalty report. So to be honest, I just don’t have any insight as to their pricing and in net selling price and things like that. They just launched a few weeks ago and we were excited about the launch and they continue to add countries, and I think that’s the most important thing. Adding Canada was a surprise for us because it was outside of Europe and they got the approval and were able to get a launch going there. And they continue to add countries pretty much what appears to be like every week. And so our first royalty report will be due 90 days after the quarter and then we’ll get a sense as to where they’re seeing the best penetration. Obviously, Forsteo is an expensive product in the U.S. It’s not priced the same way in Europe and in other countries. Obviously most other products are less expensive in Europe and in Canada and we don’t see any difference in that with Teva’s Forsteo. But overall the biggest piece in the market potentially is the U.S. And the only thing I can say about that is we still believe that there is going to be an approval for that product before the end of this year and the launch plans will really be dictated by Teva and how quickly they can get their product ready for the U.S. after the approval. Unfortunately, I can’t give you any specific timing. But overall, we feel pretty good about teriparatide and Forsteo and look forward to that launch in the U.S. as well as the launch in Europe and in Canada.
Anthony Petrone: Thank you very much, Bob.
Operator: Thank you. [Operator Instructions]. We have a follow up from Elliot Wilbur with Raymond James.
Elliot Wilbur: Let’s put Fred in the hot seat. Specifically on a couple of expense items, you’ve done a good job of holding – spending in line I guess sort of the peak of the pandemic, but obviously would expect numbers to kind of ramp up in the second half of the year. Could you just maybe give us a little bit of directional color on SG&A and R&D trends as well as a little bit of guidance or at least your perspective on how we should be thinking about operating cash flow trends in the second half of the year? Thanks.
Fred Powell: Sure, no problem at all. As you know, we have guidance for revenue. We don’t give it for EPS. And so what we’re looking at right now for the trends are really impacted by COVID. If we continue to see COVID impacting commercial operations in particular, we should see relatively flat commercial expenses for the rest of the year, no significant increase or decrease because, as Bob said, we’re about 25% back in the field. So if we remain at that level, I wouldn’t be surprised if we were to take the first six months of this year and then really look to double that to again the proximate amount for the full year. When it comes to G&A expenses, again, that’s fairly level. We’re not looking at any significant increases or decreases. We’ve been very fortunate that we’ve been having a growing business. We maintained all of our staff. And we see that the business is being very, very strong in going forward. And so, as I mentioned, if we look at the first half of this year, again, that’s a good indicator of what we should be looking as the back half of the year. When it comes to the R&D piece, again, we may see some increases but I always suspect that it would be relatively flat. Bob went through the presentation as to our internal pipeline where we’re at with the program with INDs and looking at 2021 for clinical trials and that’s really where we would see the uptick in the expenses take place in 2021. And so overall, we’re looking at about $36 million for the first half of the year in our total operating expenses, and I wouldn’t be surprised very similar to the back half. May be a slight increase, but not much of a change overall from first two quarters versus back half. Then you also asked me about the cash question, sorry about that. With cash, I suspect that we will continue to have cash generated from our operations. We think if we’re going to have – our revenue will continue to hit the guidance that’s out there, if our expenses remain fairly consistent, we generated cash, over $9 million in operating cash in the first half of this year, there’s no reason why we wouldn’t continue to generate operating cash in the back half of this year as well. So I think we’re in a good position there financially as we look at our cash and our investments.
Operator: Thank you. Our next question comes from Anthony Petrone with Jefferies.
Anthony Petrone: Great. Just a follow up on Idorsia, the Phase 3. Bob or Fred, just wondering how large that study is intended to be and what sort of uplift you would expect in auto injectors once that gets underway? And maybe what that would suggest on the manufacturing front maybe towards the end of this year? Thanks, again.
Robert Apple: Thanks, Anthony. As far as Idorsia Phase 3, they’re still working that out with the health authorities. But it’s estimated that there’s probably going to be about 15,000 patients in that study, which is typical for a cardiovascular type of study. And so it’s a significant amount of auto injectors. We’re clearly not delivering them all by the end of this year. Phase 3 is starting in the first half of next year. But we will be working towards devices for the bridging study as well as the Phase 3. So those devices are in our forecast or in our guidance because we know we have to deliver them. We know that there – what the volume is that they’re requesting at least by the end of the year. So there shouldn’t be any significant change into our product revenue other than just the growth that we expect to see in order to hit our guidance. And so we think program is going to drive some additional development revenue as well as device revenue, but that again – that will all be in our guidance.
Anthony Petrone: Okay. And then the last one would be on the rescue pen 505(b) pathway and the IND filing. I guess the right way to think about that is the actual filing would be a 2021 event which would --?
Robert Apple: Yes, the IND would be a 2021. It’s a relatively short program. We believe that we can get it done in a timely fashion. But we want to make sure we get formulation right. We want to get the PK program in front of the FDA and then we’ll be able to give better guidance. But overall, I think it will be a relatively short clinical program with a nice potential product that we’ll disclose once we go into the IND.
Anthony Petrone: Okay, all right. Thanks, again.
Operator: Thank you. Our next question comes from Wally Walker with Hana Road Capital.
Wally Walker: Good morning and congratulations on the progress in the quarter. The reinstatement of the four-year revenue guidance infers acceleration of revenue in the second half of the year. Anything to elaborate on what gives you that confidence?
Robert Apple: So again – thanks Wally for the question. When we look at the two main drivers of our business being XYOSTED and Epi; XYOSTED, we’re looking at the trends we’re seeing. We’re seeing a lot of positive trends on the growth of the prescriptions. We’re seeing positive trends obviously on the net selling price which always happens – we always do the best in the second half of the year from a net selling price because we’ve gone through co-pay support, we’ve gone through a lot of the support that we have to give the patients in order to get the drug in the first two quarters, so the net selling price goes up. So XYOSTED is a big growth driver for us for the second half of the year. And then the same with Epi. Like I mentioned earlier, we have pretty good visibility into the demand from a device standpoint from Teva. And so we know what we need to deliver. Barring any issues with COVID, we expect to be able to deliver those. So far we’ve been fortunate with our manufacturers and our suppliers that it hasn’t impacted us tremendously. We obviously have had the same impact as most other companies where there is people coming in and out of the plants with COVID, so you have to deal with that. But overall, the Epi business is pretty predictable and we expect that to be a growth driver. And on top of that, our development programs continue to ramp up. Idorsia and Pfizer and in some of the Teva work that we do, we have a lot of development work that’s getting done in the second part of the year. So you’ll see additional developing revenue that’s driving the growth of the revenue as well.
Wally Walker: Great. Thanks. Very helpful.
Operator: Thank you. [Operator Instructions]. I am currently showing no further questions in the queue at this time. I’d now like to turn the call back over to John Howarth for closing remarks.
John Howarth: Thanks, Katy. And thanks again for joining us on today's conference call. If you have any follow-up questions, you can reach me at 609-359-3016. That concludes today's call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may now disconnect.